Operator: Good morning. My name is Catherine and I'll be your conference operator today. Welcome to the PQ Group Holdings First Quarter 2021 Earnings Call and Webcast. Please note today's call is being recorded and should run approximately one hour. All participants lines have been placed in a listen-only mode to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period.  I would now like to turn the conference over to Nahla Azmy, Vice President of Investor Relations and Financial Communications. Please go ahead.
Nahla Azmy: Thank you. Welcome everyone and thank you for joining us for our first quarter 2021 earnings call. We will start today with formal remarks from Belgacem Chariag, Chairman, President and Chief Executive Officer; and Mike Crews, Executive Vice President and Chief Financial Officer. Then we will follow with the Q&A session. Please note that some of the information shared today is forward-looking information about the company's results and plans including with respect to the anticipated sale of our Performance Chemicals business, our anticipated end-use demand trends including the impact of COVID-19 and our 2021 financial outlook. This information is subject to risks and uncertainties that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the company's filings with the SEC including in the company's Annual Report on Form 10-K for the year-ended December 31, 2020. Reconciliations of non-GAAP financial measures mentioned on today's call with their corresponding GAAP measures can be found in our earnings release and presentation materials posted on the Investors section of our website at www.pqcorp.com. With that, I'm pleased to turn the call to Belgacem.
Belgacem Chariag: Thanks, Nahla, and good morning, everyone. This is a very exciting time for PQ. Since our previous earnings call in early March, we've had the opportunity to communicate with many of our investors on two very important occasions and milestones for the company. First, we have an investor conference in early April, at which we detailed our strategy, sustainability goals and growth outlooks through 2025. We unveiled ecovyst, the future brand for our pure-play catalyst and services company. More recently, we took the opportunity through a secondary offering to improve the trading liquidity for PQ shares by approximately 35%, addressing an important challenge that dates back to the company's IPO. During the first quarter, we remain highly focused on our execution and achieved several accomplishments that I'd like to briefly summarize. Beginning on Slide 3 with safety, we continue to make positive strides. Our year-on-year key metrics improved 28% for recordable incidents, and 16% for Perfect Days, continuing a trend of significant improvement on the last two years. From top management to frontline and support functions, a leading safety and environmental performance is embedded in our culture. We expect 2021 to be an even better year on this front.
Michael Crews: Thank you, Belgacem and good morning. We're pleased to report first quarter results at the high-end of the initial ranges we provided last week, which also compare favorably to the prior-year quarter when excluding the impact of winter storm Uri. Before we begin, I'd like to remind everyone our results are based on continuing operations, with both Performance Materials and Performance Chemicals now reported as discontinued operations. Starting with Slide 5, demand in the first quarter continue to improve as the overall economy recovers. Sales were in line with the prior-year while adjusted EBITDA was lower due to the impact of the storm. This lowered sales by 5% and adjusted EBITDA by 18% and reduced margin by 460 basis points. Shifting to the segment discussion that begins on Slide 6, refining services sales for the quarter of $100 million were in line with the prior-year as storm effects were mitigated by the pass-through of higher sulfur costs and recoveries under our take or pay contracts. Adjusted EBITDA of $33 million was reduced by $9 million due to the storm, our lower sales volume and additional one-time expenses related to outages and facility repairs. Turning to Slide 7, sales for silica catalysts improved by 6% to $26 million, with polyethylene catalyst volumes leading the way. Zeolyst joint venture sales of $29 million were down $3 million as hydrocracking and specialty catalyst customers continue to defer change outs as anticipated. Offsetting the decline was a rapid increase in demand for low sulfur renewable fuel catalysts. Adjusted EBITDA of $19 million and margin of 33% both declined from prior-year on lower sales volumes in the joint venture as well as unfavorable fixed cost absorption on lower inventories versus an inventory build in the prior-year quarter. These trends are expected to reverse in the second half of the year. Moving to the outlook on Slide 8, we're reaffirming the guidance shared on our last earnings call, which reflected the effect of winter storm Uri. Sales are projected to be in the range of $555 million to $565 million with Zeolyst joint venture sales in the range of $140 million to $150 million. Adjusted EBITDA is expected to be between $215 million and $225 million with adjusted free cash flow between $75 million and $85 million. We're making good progress with regulatory approvals and expect the sale of Performance Chemicals to occur sometime in the third quarter.
Belgacem Chariag: Thanks, Mike. Now I'd like to summarize our financial growth targets both for the near and long-term as shown on Slide 9. Turning first to the near-term. Earlier, I discussed the positive underlying and used market dynamics enabled by the healthy economic recovery and the continuing favorable secular trends. And Mike just reviewed the 2021 financial outlook for double-digit year-on-year growth in sales and adjusted EBITDA with margins in the low-30% level. As a reminder, this is inclusive of the corporate transition contract of nearly 200 basis points as we transition the Performance Chemicals business with a new owner post-deal closed.
Operator: . We'll take our first question today from David Begleiter with Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Belgacem, just looking at second half guidance obviously that's quite strong. Discuss almost two segments of various drivers of that strong year-over-year second half performance?
Belgacem Chariag: Hi, David. The second half is going to be marked by the strong recovery. The Alkylation business particularly in the summertime, that's the season where driving becomes much more interesting. Also, as refineries capacity are building up and increasing, we're going to see an additional level of change-outs happening, which will drive the hydrocracking recovery to be sooner than later. We started seeing the order books in the second half, for the second half for our hydrocracking and other Catalyst products. And we feel pretty strong, that the recovery is going to be much stronger than what we're seeing in Q1 and Q2, that drives the shift. And as we increase volume, David, the margins are going to be highly accretive with volume, because the cost is at a certain level today when we can get good margins and get good adjusted EBITDA. Therefore, the growth quarter half-to-half.
David Begleiter: Great. And just on the Performance Chemicals sale. What drove the increase in the net proceeds? And what's the expected after-tax portion of those new proceeds?
Michael Crews: Hey David, it's Mike. The number that we've given up $995 million is after-tax. And the increase is really just due to need a very preliminary estimate of what we thought our taxes are going to be when we gave the initial guidance. There are a lot of commingled assets and entities between chemicals and catalysts. So as we got deeper into it and formulated our plan to separate the entities, we've come up with a more refined estimates.
David Begleiter: Thank you very much.
Operator: We'll take our next question from Angel Castillo with Morgan Stanley. Please go ahead.
Angel Castillo: .
Belgacem Chariag: I'm sorry, I think I didn't hear the question at all because there's a background sound and there is, you completely cut off. I hope I'm not the only one. Sorry, Angel.
Angel Castillo: .
Michael Crews: Yes, Angel, you're breaking up. There's a phone ringing in the background, I don't know that's on your line or somewhere else.
Operator: And it does look like we have lost Angel's line. In that case, we will continue on to Alex Yefremov with KeyBanc. Please go ahead.
Alex Yefremov: Thank you and good morning, everyone. Refining services price in first quarter was up 5.8%. But was this entirely due to higher sulfur pass-through? Or was there underlying price increase in addition to costs pass-through?
Belgacem Chariag: It's a combination that most of it is. Mike, you can complement it. Most of it is high pass-through.
Michael Crews: Yes, Belgacem that's correct. There's about $3 million of pass-through. The rest of the price is related to the take or pays that kicked in as a result of the storm. So that help mitigate part of the volume impact.
Alex Yefremov: Understood. So underlying contract levels are about flat year-over-year. And is that expected to remain so for this full-year?
Belgacem Chariag: You mean volumes are…
Michael Crews: Yes, sorry.
Belgacem Chariag: I mean volume pricing, we talk about two different things, probably volumes or price changes or contract kicking in.
Alex Yefremov: Pricing, yes. I think it's the underlying pricing before any cost pass-throughs. Is that factor sort of flat, a small positive or maybe low single-digit positive percent?
Belgacem Chariag: Go ahead, Mike.
Michael Crews: Yes, thank you. I would say there's - the pricing itself has been strong. There's a lot of noise in this quarter, between mix and the storm impact and everything else. But generally speaking, I would say, there's low single-digit pricing improvement areas just masked by some of the other movements due to volume changes and what actually got sold in the quarter, which was truncated by the storm.
Alex Yefremov: Understood. And maybe another question on Catalysts. You mentioned some destocking. Could you talk about that and sort of destocking and restocking dynamics that you see in this segment overall, in the first half and the second half?
Belgacem Chariag: Well, I wouldn't refer to them more over destocking. But in the first half, there was an improved activity, and particularly on an element of renewable, renewable diesel catalysts, which showed up much stronger in the first quarter. We're going to see the real improvements in the second half for Catalyst, as the refineries are going to continue to increase operation and they're going to - there's going to be more rhythm in terms of operating of refineries, which will drive more change-outs than anticipated over than previous than the first half, which will drive an increased demand on our Catalyst products. That's on the Catalyst. But the other element that is reflected on the Catalyst activation on the refining services, which is similar is driven by refineries is the activation, demands for activation is going to be probably much stronger, since there is going to be demand for renewable catalyst, which we have in our Chem32 business. The ability to deliver some specific technology and this is going to be also an element of growth from a Catalyst perspective. So I wouldn't call that restocking, I think it's more catching up with the potential growth that is going to hit in the second quarter into the third and fourth quarter.
Alex Yefremov: Understood. Thank you.
Operator:  We'll go to Angel Castillo with Morgan Stanley. Your line is open.
Angel Castillo: Hi, can you hear me?
Belgacem Chariag: Perfect. Thank you.
Michael Crews: Yes, we can. Welcome back.
Angel Castillo: Sorry about that. Yes, I don't know what happened there. So just a quick question on leverage. You talked about where you'll see - there'll be kind of down the year pro forma. As we think about, the new portfolio longer-term, what is kind of the right levels of leverage that you see as kind of the right normal that it can sustain?
Michael Crews: Belgacem, I could take that one. So what we've communicated is mid to high threes in the leverage by the end of this year. From a capital allocation perspective, we're going to be focused on debt reduction through the end of 2022. You've seen our cash flow guidance and when you look at the EBITDA growth and the cash flow generation that we believe we can drive from ecovyst, that we should be able to continue to delever at half turn a year. We have not set a longer-term target. But if you look to the end of 2022, we should be able to get to the low threes at that point, and we'll continue to evaluate. From a M&A perspective, we've discussed bolt-on acquisitions, which are a little more bite size, you saw Chem32, we pay for that out of cash did not meaningfully move our leverage. So we do believe, we have the ability to bring the leverage down over time.
Belgacem Chariag: So Angel, just to put more color. The equation is got the M&A piece, which we know that it's not a list that you go and tap in when you have gosh, it's opportunity. So it's opportunistic. And then you have the drive to reduce low to drop the leverage. We have those two and to payback that. So the priority to pay that is going to be always there. And as opportunities show up, we would be reinvesting in the business. Now, you could have a period where all we do is pay debt. Now you could have a period where especially what we see in the near-term is we're going to go to the low threes. And we have the ability to bring the leverage down by half a turn a year, depending on the opportunities, but we're going to be chasing opportunities. And you also could have an opportunities that show up halfway through and we'll just take them, and then go back to bring the leverage down. So where we're probably going to be the sweet spot by 2022, it will be low threes, which we think is comfortable enough for us to be able to juggle the two, because we need to grow on, based on small tuck-in M&A as well. So that's the balance, it's very difficult to predict. Well, we know these are our ability of half a turn reduction. And we also know that in the near-term, we're going to focus on bringing leverage down to the low threes. Does that make sense?
Angel Castillo: Yes, absolutely. That's very helpful. And then…
Belgacem Chariag: And Angel, I'm sorry. Yes, one other point that I would make is you may have seen that we expanded our peer set when we did the Investor Day presentation. And when you look at these other companies beyond because we really - we don't have great direct comps in this Specialty Chemicals space, right particularly considering that the grace is no longer be a public reporting entity. So when you look at some of these other electronic chemical companies or the environmental recycling businesses, we're in the middle of the pack on leverage. That doesn't mean we need to stay there. And we've communicated what our plans are for deleveraging. But I mean, certainly when you've got a high growth, high margin, high cash conversion entity like ours compared to these others. Well, we all feel that we're an outlier, but we'll continue to focus on bringing that leverage down.
Angel Castillo: Understood. That's very helpful. And then just I apologize somebody already asked this, while I drop off for a second, but to your point on growth, one of the things I noticed is I guess was Chem32, it sounds like you're getting some of the benefits of that acquisition already flowing through. And you talked about renewable fuels and what you're seeing in there. I was wondering if you could just expand a little bit more on, the one the Chem32 synergy opportunity and two what you're seeing kind of from a renewable fuel end-market perspective, if you didn't already discuss it? Sorry.
Belgacem Chariag: Sure. Look, the reason we have Chem32 in our portfolio is because we saw and we still see the opportunities, one, two growth factors. One growth vector is the drive of the refining industry to outsource some of the units, fighting exercise and activation. Today, the activity, there's probably 80% of the refiners still do that that activity onsite, 20% are moving away from that, and using their smaller units to be sulfide or pre-sulfide at offsite, which presents a huge value for them on several fronts. One is obviously the time saving, especially if you go to more frequent change-outs, time saving. And most of all is hazard and safety. Remember it grew in 2020, simply because of also COVID and health reasons where people wanted to minimize the presence of individuals onsite. So that is going to probably turn to be even more economic for some other refiners. So we think that the many refiners will go that way, that will probably be the trend to go to bigger units, as opposed to all these small units, to increase the chance of refiners getting more, saving more time and staying really in control of the cost and safety. That's one vector of growth, we think it's going to be in the favor of Chem32 market direction. The second vector is on renewable. As I said, renewable requires special catalysts, special activation, and we do have a process in our intellectual property, reactor technology that favors us. And we have experience in that. We think, as we see renewable activation, catalyst activation, grow or renewable grow, we can have a nice advantage over that. So you put those two together. Then you add the synergy that we're creating with the customer network remember, we operate in the Gulf Coast, this location is here in Texas. They talk to refiners, we talk to every day, we have deeper relationships with some other refiners. And it just expands the commercial and customer network with the reliability of our Eco Services business, that brings more confidence. And with the strength of the technology that Chem32 has, we believe the growth vector could be very interesting in the coming years.
Angel Castillo: Very helpful. Thank you.
Operator: . We'll go now to David Silver with C.L. King. Your line is open.
David Silver: Yes, hi. Thank you. Appreciate that. I guess I had kind of maybe more of a clarification question for Mike. But for the allocation of the proceeds from the sale of Performance Chemicals. You've given a range for special dividend and a range for debt pay down. I think the gap in both cases is pretty close to $100 million. Can you just remind me, what the criteria would be for deciding whether you're going to maximize debt pay down, maximize the special dividend or something in between? Thank you.
Michael Crews: Hi, David. It's still under review. I mean, we gave a range for a reason, because we hadn't finalized our tax position, which is still under review. We haven't finalized the closing date. So all of those factors are still in play. So we'll be happy to communicate where we come out a little closer to the closing or upon closing. But at this point, we're still working inside that range and deciding how best to optimize the mix between debt and special dividends.
David Silver: Okay. Thank you for that. And then I had a question for Belgacem maybe about his view on the evolving regulatory environment that you'll be operating in for the next few years. So the current administration has started with a flurry of executive orders. And then there's a lot of discussion about some additional regulations or environmental legislation they might institute. And refining, of course, has been driven by continuous regulatory changes for a long time. But can you maybe just help me out, call out maybe one or two changes that have occurred, since the new administration took place? And then maybe are there one or two critical developments you're anticipating that may drive demand for your emissions catalysts or the Alkylation business? In other words, where would be the key regulatory drivers from your perspective?
Belgacem Chariag: Hi, David. Look there is, let me do that, from a U.S. perspective, but also from a global perspective, because it impacts also some of the refinery activities with respect to Catalysts and emission control. So first of all, here we believe that there was going to be some further stringent, kind of tightening on the regulations, can't cite any specific regulation changes. All I know is the CAFE standards, particularly is not going to be eased as it was during the previous administration. And we might revert back to further tightening the CAFE standards, which means further tightening the sulfur, desulfurizing and the emissions and which would be a great opportunity for Alkylation business. Just a note on the Tier 3 Sulfur Regulations that are implemented in 2020 towards the end, that that really brings in additional requirements for obtaining crease to a level where it probably triples the amount of alkylates that is needed to do that. And that's in practice right now. So we see that continue, and maybe growing further. And of course, we're going to probably see some more than executive orders. Probably, we're going to see more rules and regulations put in place and tighter application on further. It's going to be further and further sulfur reduction. And every time you remove sulfur, you destroyed octane, and you're going to have to rebuild it, which will probably be a positive factor. On a global basis, of course, you recall, people start talking about IMO 2020, which is a process by which also desulfurizing marine fuel that was starting to be implemented around China, particularly with the highest volume of application, that is recovering and moving forward. You also have the emission control rules, the Europe 6 and the China 6 and all those regulations that are going to be pushed forward continue to be pushed forward post-pandemic, to recreate that momentum of tighter regulation. So if you look at it as a whole, I think we're going to see a nice ramp-up of tighter regulation. That is the only answer that is there today to create that transition movement into cleaner air and cleaner fuel. It's just going to keep tightening. And for us as a business, if I connect it to, the more that tightening is, the more activity for us and the more business for us, and I think there is still a lot of room, it's not only the next couple of years, where we're going to see cleaner fuels, and cleaner air, and cleaner water, and all those demands and requirements. That's going to be a good tailwind for our business.
David Silver: Okay, great. Thank you for that.
Belgacem Chariag: You're welcome, David.
Operator: We have no further questions in queue at this time. This does conclude the PQ Group Holdings first quarter 2021 earnings call and webcast. Thank you for your participation and you may disconnect at any time.